Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Diana Shipping, Inc. Conference Call on the Second Quarter 2025 Financial Results. We are joined by the company's Chief Executive Officer, Ms. Semiramis Paliou. [Operator Instructions] Please note that this conference is being recorded. We will now turn the floor over to Ms. Semiramis Paliou. Please go ahead.
Semiramis Paliou: Thank you and good morning, ladies and gentlemen, and welcome to Diana Shipping Inc.'s Second Quarter 2025 Financial Results Conference Call. It's my pleasure to present alongside our esteemed team, Mr. Stasi Margaronis, Director and President; Mr. Ioannis Zafirakis, Director, Co-CFO and Chief Strategy Officer; and Ms. Maria Dede, Co-CFO. Before we begin, I'd like to remind everyone to review the forward-looking statements on Page 4 of the accompanying presentation. The dry bulk market posted a mixed performance in Q2. Cape once again outperformed the smaller segments as West African bauxite exports surged, Chinese iron ore demand held steady and Australian miners pushed hard into their fiscal year-end. Cape fleet growth slowed and crawled, slipping below 1.5% year-on-year as only 6 Newcastlemaxes and 3 standard Capes joined the fleet. A different story for the other sizes with fleet growth of 2.7% and 4.5% year-on-year for Panamax and geared bulkers, respectively. Overall, bulk carriers markets have been softer in the first half of 2025 with average sector earnings down by about 30% year-on-year amid weaker demand trends in key commodities. U.S. government policy remained in focus during the quarter after the branded Liberation Day on April 2. Though generally, the direct impacts of tariffs and counter tariffs on dry bulk trade appear limited and aggregate demand trends in China are seemingly more significant for overall dry bulk demand. The USTR proposal cast a shadow early in the quarter, but towards late April, it became clear that the impact would be limited for dry bulk trade. The quarter also saw escalation in the Middle East conflict at some point causing concern of a closure of the Strait of Hormuz. This situation remains volatile and Red Sea rerouting is likely to continue. Despite these uncertainties, we were able to secure 3 charters since our last financial results conference call across all segments in the fleet, all with existing clients. And most notably, we were able to take advantage of the quarter's period of contango in the Capesize segment by fixing those vessels at a considerable premium over the spot market. Turning to Slide 5. Let's review our company snapshot as of today. Diana Shipping, Inc. founded in 1972 and listed on the New York Stock Exchange since 2005, operates a fleet of 36 dry bulk vessels, 6 of which are mortgage-free. Our fleet has an average age of 11.7 years and a total deadweight capacity of approximately 4.1 million tonnes. We anticipate the delivery of 2 methanol dual-fuel newbuilding Kamsarmax dry bulk vessels at the end of 2027 and early 2028, respectively. Fleet utilization reached 99.5% for the second quarter of 2025, highlighting our effective vessel management strategy. As of the end of June, we employed 968 individuals at sea and the shore. Financially, our net debt stands at 46% of market value, supported by $150 million in cash reserves as of quarter end and total secured revenues of approximately $117 million as of July '22. Moving on to Slide 6. Let's go over the key highlights from the second quarter and recent developments. In April, we celebrated the company's 20-year anniversary of listing on the New York Stock Exchange with a Closing Bell Ceremony and hosted an Investor Day in New York. The investor presentation is available on the company's website for your reference. In June, continuing the renewal and modernization of our fleet, we announced the sale of motor vessel Selina for a purchase price of approximately $11.8 million before commission. She was delivered to her new owners in July. As of July 22, we have also secured USD 66.1 million of contracted revenues for 69% of the remaining ownership days of the year 2025 and have secured $50 million of contracted revenues for 20% of the ownership days of the year 2026. Finally, we are pleased to declare a quarterly cash dividend of $0.01 per common share with respect to the second quarter of 2025, totaling approximately $1.16 million. Slide 7 summarizes our recent chartering activity. Since our last earnings presentation, we have secured time charters for 3 vessels; 1 Ultramax vessel at a daily rate of $12,250 for 385 days; 1 Panamax vessel at a daily rate of $10,100 for an average of 372 days; and 1 Newcastlemax vessel at USD 25,000 for 442 days. Slide 8 highlights our disciplined chartering strategy. We focus on staggered medium- to long-term charters to avoid clustered maturities, ensuring earnings visibility and resilience against market downturns. Now I'll pass the floor to Maria for a more detailed financial analysis.
Maria Dede: Good morning. Moving to Slide 9, financial highlights. The second quarter of 2025 marked another profitable quarter for Diana. Time charter revenues for the second quarter were $54.7 million compared to $56 million for the same quarter last year. This 2% decrease was a result of the decrease in the size of the fleet rather than the market as the average time charter equivalent rate that our vessels were fixed with us during the quarter was higher than the average time charter equivalent rate of the same quarter last year. Despite the above, net income for the second quarter of 2025 improved significantly to $4.5 million compared to a net loss of $2.8 million for the second quarter of 2024. This turnaround was largely driven by decreased interest and finance costs resulting from a combination of reduced average debt levels and a decline in the weighted average -- weighted average interest rate. Additionally, net income for the quarter was also affected by nonoperating unrealized gains compared to nonoperating losses recorded in the second quarter of 2024, both related to fair value adjustments on our investment in OceanPal and the warrants. As a result, earnings per common share diluted was $0.03 in the second quarter of 2025 compared to a loss per share diluted of $0.04 in the second quarter of 2024. On the balance sheet side, our cash, cash equivalents, restricted cash and time deposits as of June 30, 2025, decreased to $149.6 million compared to $207.2 million as of December 31, 2024. During the 6 months ended June 30, 2025, the company generated positive operating cash flows of $25.8 million, which was utilized to service debt obligations. In addition, available cash was strategically deployed across a range of investing and financing activities. More specifically, during the 6 months ended June 30, 2025, we invested approximately $23 million to repurchase shares of our common stock in a tender offer, reinforcing our commitment to shareholder value. During the second quarter, we initiated a position at Genco Shipping & Trading Limited, a publicly listed company. And as of June 30, 2025, our investment was $24.8 million. Following that date, we continued to gradually increase our stake and on July 17, 2025, we filed a Schedule 13D disclosing a 7.72% ownership interest. This strategic move reflects our confidence in Genco's long-term value and is aligned with our broader investment objectives. Finally, during the 6 months ended June 30, 2025, as part of our capital commitment to our equity method investees, we invested $12 million in Windward Offshore, an offshore wind vessel companying building 4 CSOV vessels as in Ecogas Holdings, a company building two 7,500 cubic meters LPG vessel with delivery in 2027. Long-term debt and finance liabilities net of deferred financing costs decreased to $610.2 million as of June 30, 2025, compared to $637.5 million as of December 31, 2024. This represents a reduction of approximately 4%, reflecting the steady debt amortization over the period as illustrated on Slide 12. Going to the next slide, we present the financial and other data that influenced our revenue, time charter equivalent rate and daily operating expenses rate for the period in review. In the second quarter of 2025, the average number of vessels was 37 compared to 39 in the second quarter of 2024. This reduction reflects the sale of motor vessel at mainly early in March as well as the sale of one additional vessel in the third quarter of 2024. This reduction impacted ownership days, available days and operating days which are key inputs in calculating time charter equivalent, daily OpEx and fleet utilization. Our time charter equivalent, which is defined as our revenue less voyage expenses divided by the available days was $15,492 compared to $15,106 in the second quarter of 2024. This increase of 3% reflects the stronger charter rates secured during the quarter compared to the same quarter last year. This improvement is a direct result of our consistent and disciplined chartering strategy, which allowed us to secure favorable employment for our vessels even in a challenging market environment. Fleet utilization decreased to 99.5% compared to 99.9% in the same quarter last year as a result of increased off-hire days incurred in the second quarter of 2025 compared to the same quarter of 2024. Vessel operating expenses for the quarter decreased by 6% to $20 million compared to $21.3 million in the second quarter of 2024 due to the decrease in the size of the fleet. On a per day basis, the daily operating expenses in the second quarter of 2025 also decreased by 1% to $5,944 compared to 5,993 in the second quarter of 2024. This was a result of our ongoing efforts to manage cost effectively without compromising the quality of our fleet and our operations. [Technical Difficulty]
Operator: Ladies and Gentlemen, please stand by for technical difficulties.
Maria Dede: Going to Slide 11, similar to the previous one, presents key operating metrics for the 6 months ended June 30, 2025. Net income for the 6 months ended June 30, 2025 was $7.5 million compared to a net loss of $0.7 million for the same period last year. The average number of vessels in the first half of 2025 was 37.4 compared to 39.4 for the same period in 2024, reflecting the impact of vessel sales. Despite the smaller fleet size, our time charter equivalent for the first half of 2025 improved to $15,615, up 4% from $15,078 in the first half of 2024. Fleet utilization for the 6 months ended June 30, 2025 remained high at 99.5%, consistent with the same period last year. Vessel operating expense for the 6 months ended June 30, 2025 totaled $40 million, down from $42.1 million in the same period of 2024, primarily due to the smaller fleet. However, daily operating expense for the first half of 2025 rose slightly to $5,905 from $5,883 in the first half of 2024, mainly due to higher crew-related costs. The average age of our fixed was 11.7 years. Going to the next slide. This slide shows the company's debt amortization profile and debt balances through to full repayment in 2032, which remains unchanged since the previous quarter. The company has a mix of fixed and variable rate instruments. The fixed rate instruments include an unsecured bond of $175 million at a fixed rate coupon, 4 sale and leaseback agreements at very favorable fixed rate and interest rate swap under which we received term soft and paid fixed, the variable rate instruments consist of secured term loan agreements with 4 banking institutions. We have a fixed annual debt amortization of $47.1 million without any maturities or [ balloons ] until 2029 when the bond becomes due. This steady amortization provides good visibility of our debt service cost, allows better management of the company's liquidity, strengthens our balance sheet and reduces the company's credit risk. Going to the next slide. As of June 30, 2025, our breakeven rate stood at $16,409 per day. As of July 22, 2025, we have secured 69% of the ownership days for the remainder of the year with expected revenues of $66.1 million at an average time charter rate of $16,280 per day. Looking ahead to 2026, we have already fixed 20% of the ownership days and expect to generate $49.9 million of revenues at an average time charter rate of $18,897 per day. In addition to our contracted revenues, we have estimated potential revenues for the unfixed days of 2025 and 2026 using the FFA rates presented in this slide. Based on these assumptions for the remainder of 2025, we could generate $90.5 million total revenues at an average time charter rate of $15,415 per day and for 2026, potential revenues could reach $202 million at an average time charter rate of $15,376 per day. While the projected revenues may fall short of fully covering our breakeven rate in the near term, we remain confident in the company's ability to navigate market cycles. Our strong balance sheet and predictable cash flows position us well even in the event of prolonged market softness. This slide, #14, highlights our dividend distribution since the third quarter of 2021 through which we have consistently rewarded our shareholders with quarterly payout in both cash and shares. In line with this policy, we have declared a dividend of $0.01 per share, bringing our cumulative dividends paid since 2021 to $2.68 per common share. I will now hand over to Stasi Margaronis, who will provide an overview of the dry bulk market.
Anastasios C. Margaronis: Thank you, Maria, and welcome to those who have joined us in this quarterly earnings call of Diana Shipping, Inc. Starting with the market update. In order to avoid repetition and for the sake of keeping this presentation as brief as reasonably possible, we will refrain from repeating matters, which we presented in our last quarterly presentation and which have not changed significantly over the last 2 months. The 2 tragic incidents involving the sinking of 2 ships in the Red Sea with loss of life have not changed the trading patterns of bulk carriers through the area or risk insurance premium have gone up, but that is another matter altogether. According to Clarksons, during the first half of 2025, average bulk carrier earnings of USD 10,750 per day were down 30% year- on-year amid weaker demand trends in key commodities, though earnings have picked up in June and so far in July due to a rise in shipments. As of July 28, the 12-month time charter rate for Capes stood at around $20,250 per day for a scrubber-fitted ship. The equivalent rate for a Kamsarmax stood at USD 12,500 per day and for an Ultramax at $13,100 per day. All these rates are up from the beginning of the year. The spot market increased by significantly more with the Baltic Cape Index moving from $1,261 to $3,774, while the Baltic Panamax Index from $1,000 to $1,798 over the same period. During this period, according to Commodore Research, robust South American grain shipments and strong Indonesian coal cargo exports have been helpful for maintaining rates for Panamaxes and Ultramaxes. The overall market outlook for this year is for softer earnings than 2024 due to fleet growth estimated at around 3%, with dry bulk demand in ton miles softening by about 0.4%. The main trade supporting the market, particularly the larger sizes are the ever-rising shipments of bauxite from Guinea as well as rising iron ore shipments from Brazil. Looking out into 2026, there is potential according to Clarksons for bulk carrier market to see another year of softer earnings with the fleet projected to grow by 3.2% year-on-year and dry bulk demand expected to increase in ton miles by 0.4% compared to this year. However, different outcomes are possible among the different size ranges, influenced by the global energy transition, global macroeconomic trends, demand implications of the Simandu project ramp-up and U.S. tariff policy. On the tariff front, the U.S. and China have finally agreed on a framework to keep bilateral tariffs at the levels agreed in May. China will apply 10% headline tariff on all U.S. goods, while existing tariffs on U.S. energy and grains remain outside the scope of this agreement. The U.S. will continue to apply 30% tariffs on all Chinese goods on top of the already existing tariffs in place from Trump's first term. Apart from China, the U.S. has agreed trade terms with the U.K., Vietnam and Japan. Terms of trade with other nations will be announced on August 1. Obviously, negotiations will follow with the countries involved. Looking at macroeconomic developments and bulk commodity shipments. The IMF has not changed their global GDP growth estimates with world GDP estimated to grow 2.8% this year and around 3% in 2026. Projected growth rates for individual areas and large economies around the globe have not changed since our last report. Looking at steel, the most recent data available to Commodore Research shows that crude steel output of large and medium-sized mills throughout China is down year-on-year by about 2%. According to Braemar, crude steel production during the first 4 months of 2025 by all top producers worldwide came to 623.5 million tonnes, a drop of 0.1% year-on-year. The expectations of most analysts are that this small percentage reduction will be reflected in the annual figures for 2025 at around 1.85 billion tonnes. On iron ore, seaborne iron ore shipments are expected to be slightly weaker this year and steady in 2026 at 1.572 billion tonnes. China iron ore imports are expected to fall by 3% year-on-year during 2025. Grain cargoes. Global grain exports are expected according to Commodore Research to total 720.5 million tonnes in the 2025-'26 grain season. If realized, this could represent an increase of 3% from the current 2024-'25 season volumes. According to Clarksons, there appears to be a shift of corn shipments from the U.S. Gulf to the East Coast of South America. This will result in longer trips by significant margin with the obvious beneficial effect on ton-mile demand. As regards coal is concerned, now coal, coking and steam coal shipments are both expected to steadily drop this year and next with reduction ranging from 1% to 7% per year over 2025 and 2026, depending on the type of coal shipped. Coal imports in China could be boosted by softer steam coal prices going forward, which have been under steady pressure. Still on the demand side, according to Clarksons, strong Chinese appetite for bauxite has been the main driver of Guinea bauxite export growth with 110 million tonnes shipped, representing about 70% of China's seaborne bauxite imports last year. In the first half of this year, Capesize bulk carriers spent an estimated 15% of their laden time carrying Guinean bauxite. This was just 7% 3 years ago. Looking at fleet development. The bulk carrier order book stands at about 113.2 million deadweight, representing 10.8% of the trading fleet with Capes at 8.9%, Panamaxes at 14% and Ultramax Supramaxes at 11.4%. This is manageable tonnage as regards supply, provided demand grows steadily and ships are scrapped at a normal pace, but this would be the case only in an ideal world. There are about 36.9 million deadweight of bulkers, which will be delivered this year as a whole. And next year, deliveries are expected to reach 43 million deadweight. According to Braemar, the net increase of the Capesize fleet in 2025 will be about 5 million deadweight and a further $9 million in 2026. For Panamaxes, the increase for this year is expected to be 7 million deadweight and for 2026, $11 million. On Supramaxes and Ultramaxes, the net fleet increase may be $10 million this year and the same next year. As an indicator, we note that the bulk carrier fleet has increased by about 1.3% during the first 5 months of 2025. This year, so far, newbuilding orders for dry bulk carriers have dropped by about 73% compared to this time in 2024. Turning to demolitions. With market conditions and sentiment being the main determining factors in scrapping decisions, it is worth noting that there are about 548 standard Capes built between 2009 and 2012 and over 700 Panamaxes built before 2010. About 28% of the Handymax fleet is over 15 years old, with 28% of Panamaxes falling into this age bracket and 23% of Capes. All these ships are obvious scrapping candidates in a weak market, coupled with some pessimism as regards market prospects. Clarksons predict that during 2025, only 4.7 million deadweight of bulkers will be scrapped. The estimate for next year is about 8.9 million deadweight. Looking at asset prices. According to Clarksons, newbuilding resale prices have eased since our last earnings call. Cape newbuildings are now at around $73.5 million with Kamsarmax newbuilding prices trading at $36.5 million. Ultramax newbuilding prices stand at around $33.5 million. These are year-on-year price drops of around 3.5% on average. Secondhand prices for 10-year-old Capes have held firm at around $46.5 million, reflecting the market's recent strength, while Kamsarmaxes of the same vintage have eased slightly to $24.5 million. Meanwhile, 10-year-old Ultramaxes have been changing hands at around $22 million, showing a downward 3-month trend of 3%. Let's wrap it all up by looking at positive and negative factors impacting dry bulk shipping. Analysts quoted in this presentation cite several factors, which they expect will influence the short- and medium-term future of the bulk carrier market. We summarize the most important ones in the next slide. On the positive side, we have robust South American grain exports, even though they have dropped sharply over the last few weeks. Next, strong Indonesian coal shipments, gradual resolution of reciprocal tariffs between the U.S. and the rest of the world, Red Sea rerouting expected to continue for the rest of the year, lifting of sanctions against Syria and the cessation of the mini war with Israel backed militia, leading to the reconstruction of Syria, the commencement later this year of iron ore shipments from Simandu in Guinea. On the negative side, we have worldwide lower steel production outside India, bulk carrier fleet growth outpacing demand growth for 2025, '26, less so in the Cape sector, increase in wind, nuclear and solar power production, particularly in China; anticipated long- term reduction in coal imports by China, possible failure in trade talks between the U.S. and their trading partners, except for China, Vietnam, Japan and the U.K. mentioned earlier, leading to high tariffs and trade disruption. On this note, I'll pass the call to our CEO, Semiramis Paliou to present some important takeaway points from this earnings call.
Semiramis Paliou: Thank you, Stasi. So before concluding today's presentation, I'd like to highlight our ongoing ESG commitment to promoting eco- friendly technologies and modernizing our fleet, transparently sharing emission data to ensure accountability, building on partnerships and collaborations to advance our sustainability goals and developing an equity, diversity and inclusion program while continuously investing in our people. In summary, Diana Shipping Inc. stands on a strong foundation built on over 50 years of industry experience and 20 years on the New York Stock Exchange. A seasoned management team adapts to addressing industry challenges, strong stakeholder relationships and a disciplined strategic approach, a solid balance sheet with a strong cash position and a countercyclical mindset, ongoing fleet modernization efforts, a focus on rewarding our shareholders when possible and a robust ESG strategy. So thank you for joining us today. We look forward to addressing your questions during the Q&A session.
Operator: [Operator Instructions] Our first questions come from the line of [ Lars Zide ] with Arctic Securities.
Unidentified Analyst: I have a couple of questions regarding the recently acquired Genco stake. I hoping you could shed some light on that. So firstly, how long perspective do you have on the Genco transaction? And secondly, Genco trades at a lower discount to NAV than yourself. Why not buy back shares instead?
Ioannis G. Zafirakis: Hi Lars. It is Ioannis. Let us explain the reason behind the purchase of the Genco shares. Needless to say that Genco is a very well-run dry bulk company, which was trading admittedly at a discount to NAV less than ours. Having said that, there is an additional value to this purchase, which has to do with the strategic positioning of Diana Shipping as a major shareholder in that company. So in addition to that, if you may, you can also say that they have a kind of a different chartering strategy that we can benefit from and stuff like this. It's a dividend-paying company. So all in all, for us, we have considered that to be a better option than buying our stock at discount now without excluding the possibility of us buying back our stock in the future. And for us, it's a medium- to long-term investment.
Operator: We have reached the end of our question-and-answer session. I would now like to hand the call back over to management for any closing comments.
Semiramis Paliou: Well, thank you for joining us at Diana Shipping's Second Quarter 2025 Financial Results. We look forward to presenting to you again in the next quarter. Have a good day. Thank you.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.